Operator: Welcome to the Second Quarter 2015 Frank's International N.V. Earnings Conference Call. My name is Kristine and I will be the operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Thomas Dunavant. You may begin.
Thomas Dunavant - Director, Finance and Investor Relations: Good morning, everyone, and welcome to Frank's International's conference call to discuss second quarter 2015 earnings. I am Thomas Dunavant, Director of Investor Relations. Joining me today on our call are Gary Luquette, President and Chief Executive Officer; Jeff Bird, Executive Vice President and CFO; John Walker, Executive Vice President of Global Operations; John Sinders, Executive Vice President of Administration; and Keith Mosing, Executive Chairman. Gary will begin today's call with operational highlights and an overview of the quarter. Jeff will then provide a more detailed overview of our operations and financial results. Gary will conclude with his closing remarks. Everyone will be available for questions after the prepared comments. Before we begin commenting on second quarter results, there're a few legal items that we would like to cover. First, remarks and answers to questions by company representatives on today's call may refer to, or contain forward-looking statements. Such remarks or answers are subject to risk and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. And such statements speak only as of today's date, or if different as of the date specified. The company assumes no responsibility to update any forward-looking statements as of any future date. The company has included in its SEC filings cautionary language identifying important factors that could cause actual results to be materially different from those set forth in any forward-looking statements. A more complete discussion of these risks is included in the company's SEC filings which may be accessed on the SEC's website, or on our website, at www.franksinternational.com. Also you may access both the second quarter earnings press release and a replay of this call on our website. Please note that any non-GAAP financial measures discussed during this call are defined and reconciled to the most directly comparable GAAP financial measure in the second quarter 2015 earnings release which was issued by the company today and is available on our website. I will now turn the call over to Gary for his comments.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Thank you, Thomas. Despite difficult market conditions, our second quarter results were generally in line with what we expected. Activity levels outside of the U.S. land market mostly trended with our expectations and internal efforts to control cost and improve efficiencies began to take hold. Jeff will cover our financial results in more detail in a minute, but at a high level, our revenue declined 8% sequentially with U.S. Services declining the most, down 28% from the first quarter. Tubular Sales was a bright spot for us, delivering 21% sequential revenue growth. Lower activity and price reductions impacted our EBITDA as total company adjusted EBITDA margin was 31%, down five percentage points from the first quarter. To offset pricing pressure and right size the business relative to the current business environment, we have and we continue to pursue cost reduction initiatives. In the second quarter, we moved forward with the previously announced workforce reduction which ended towards the higher end of our announced range of 400 to 600. Additionally, we continue to look for ways to further reduce our cost through process improvement and internal efficiencies which will help mitigate adverse market conditions in the short-term, while ensuring we are well-positioned operationally for the long-term and eventual recovery. In other words, we are taking steps to control what we can. What we cannot control is the market, which unfortunately still remains very uncertain. Activity levels and pricing for our services for the rest of 2015 is still difficult to predict. Although there are signs that we are near or at a market bottom based on rig count and commodity prices, any optimism for the remainder of the year is predicated on the belief that commodity prices will see a modest recovery in the second half. As demonstrated in recent weeks however, market softness persists and some now believe downward pressure on prices will persist for the remainder of this year. As a result, our customers are focused on short-term business fundamentals and have deferred discussion on longer-term outlooks. Projects and programs that can be deferred without the loss of opportunity are being delayed until sustained price improvement is seen. Longer-term, some of these deferred programs will have to be executed to honor lease commitments. The main uncertainty is timing, either second half of 2015 or roll into 2016. In addition to project deferrals, we're also seeing a second round of pricing discount request as initial discount agreements expire or new discounts are being sought. This will lead to further headwinds to our revenue and EBITDA for the rest of the year. Activity levels outside of U.S. land remain close to forecast; with some areas holding and others experiencing slight declines as projects get canceled or deferred, as previously mentioned. Regions where activity is slowing more than forecast include West Africa and the Gulf of Mexico. The reasons for each though are somewhat different. In West Africa, poor results of exploratory wells in the pre-salt and challenged economics of current development projects have led to a decrease in activity. When commodity prices recover, we are hopeful that some of this activity will also recover. In the Gulf of Mexico, activity is lower due to project delays and the continuance of well construction execution problems. Concerning project delays, we believe those sanctioned projects will proceed albeit at a later date due to sunk costs and lease obligations. The timing of these projects will depend on commodity prices and lease expiration dates. For our work impacted by well construction problems, the timing is uncertain. In addition, 2015 has been an unprecedented year with excessive loop currents, making it difficult to anchor floating units and conduct drilling operations. The U.S. land market has been the most disappointing and unpredictable part of our program. It has declined more rapidly than many in the industry had forecast. In addition to the rapid and absolute decline in rig count, competition has been fierce, and in some cases, involves irrational pricing. We believe this pricing environment is unsustainable. At Frank's, we are driving to reduce our costs and looking to maintain our market share, while avoiding winning work at unacceptable margins. As we have indicated in past calls, we are working to up-sell our capability or look for longer-term contracts as a means of offsetting pricing pressures. With all of this uncertainty, our focus is on controlling what we can and continuing to look introspectively to improve our execution efficiency and reliability. As part of controlling what we can, we are focused on continuing to deliver outstanding service to our customers while investigating new ways to maintain our technological advantage for complex wells. Working together, our engineering and operations teams continue to set records in the Gulf of Mexico. During the second quarter, we broke our previous string weight record of 2 million pounds. This record was broken twice within the same day, with one string having a string weight of over 2.2 million pounds. We have now landed four strings, which are in excess of 2 million pounds. We have several more of these high string weight projects scheduled for upcoming quarters. Last quarter we discussed our acquisition of Timco Services, a tubular running services business primarily concentrated in the sweet spots of the Permian and Eagle Ford shales. Our integration of this business continues as we aim to have our operations mostly consolidated by the end of the year. Customers of both companies have been receptive to the integration as we reassign work based on our new combined footprint and we bring the best of both companies to address the challenges of their wells. Jeff will discuss more details in a minute, but we had healthy cash flow this quarter, ending the quarter with nearly $500 million in cash despite having closed the Timco acquisition at the beginning of the quarter. We continue to explore both organic and inorganic opportunities and have a growing opportunity set of targets that fit our overall strategic mandate. We continue to look for consolidation opportunities including in the U.S. land market, but we are not limiting ourselves to land. Offshore and international opportunities are being considered and we are open to diversifying our product and service offering if the right strategic opportunity were to present itself. Our acquisition strategy remains unchanged. We are looking for targets that either will allow us to increase our presence in markets that we feel we are underrepresented, or will allow us to grow with new product or service offerings. Either way, we want to be the leader in every market and segment in which we compete. We are always looking for the best and brightest people to join our team and a market like this gives us opportunities to add to our capability. One such recent addition is David Brunnert who joins us with nearly 20 years of oilfield services experience and will serve as our Senior Vice President of Operations reporting to John Walker. To recap, activity in most of our markets is close to forecast. However, pricing pressures persist and competition for reduced services is strong. We are working hard to reduce our cost while ensuring we have the ability to respond to our customers once the recovery begins. We will continue to meet the challenges in our business and do all that we can to not only survive this downturn, but continue to look for ways to improve our market position and execution capability. All the while, we continue to generate positive free cash flow that allows us to continue to pay our dividend while looking for acquisition opportunities that enhance our market leader position. I will now turn the call over to Jeff Bird for his comments before providing my closing comments.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Thank you, Gary. We do face an uncertain market. Financial results were in line with our expectations as Q2 is the first quarter we faced the full effect of the price reductions. However, as we stated on our call last quarter, we remained focused on controlling what we could control. Gary previously mentioned workforce reductions. Since year-end, our head count is down approximately 15%. We've moved forward with closing seven U.S. land bases and two international manufacturing locations since year-end. These actions will yield $20 million in savings in 2015 and annualize $30 million in 2016. We will continue to update you on our cost reduction activities in future quarters. One important element of our ongoing cost and working capital efforts is sustainable underlying process change. To that end, we held Frank's first Lean Kaizen event at our facility in Lafayette, Louisiana focused on four key projects, specifically, in procure to pay, order to cash, human resource planning and tong manufacturing. As I've discussed on prior calls, I believe we'd be able to deliver a 30-day DSO improvement between now and mid-2016. The projects that we've identified targeted scalable action plans to reduce our working capital by greater than $30 million in this facility alone. The results of these action plans should begin to take hold in Q3 and yield meaningful results in Q4 of this year. This will help bolster our already strong balance sheet, thanks to all the team members in our Lafayette facility that have contributed. This is the first step and an outstanding start to our Lean journey. We believe this will position Frank's to meet the challenging environment we are operating in and be positioned to capitalize on the eventual market recovery. Turning to our results for the second quarter. Revenue for the quarter was $254 million, an 8% decrease sequentially and 7% decline year-over-year. U.S. Services saw slower activity offset by a stronger quarter from tubular sales. International remained stable. Our adjusted EBITDA for the second quarter was $80 million or 31% of revenue. Adjusted EBITDA margin declined five percentage points from the first quarter. Q2 is the first quarter we faced the full effect of the price reductions outlined in Q1 of 5% to 10% and a full quarter of lower U.S. Services activity. Income from continuing operations for the second quarter was $29 million with net income attributable to Frank's International N.V. of $21 million or $0.14 per share. Diluted net income which includes $400,000 and assumed additional tax impact of conversion of preferred shares was $28 million or $0.14 per diluted share. In the second quarter, our tax rate was 26%. As a result of the changes in our business mix both in the U.S. and internationally, we now expect our 2015 effective tax rate to be between 22% and 24% versus a previous expectation of 20%. The second quarter's tax rate included a catch-up on our tax expense to get us up to this new effective tax rate. Diving deeper into our operating results, International Services revenue from external sales in the second quarter declined 1% sequentially and 5% year-over-year to $123 million. Pricing discounts have been less prevalent in this market. Lower activity due to unsuccessful wells and challenging commodity prices was offset by revenue growth in Latin America and Asia Pacific. Adjusted EBITDA for International Services for the second quarter was $55 million or 45% of external sales, up 6% sequentially and up 13% year-over-year. We have lower selling expense in the quarter which provided an uplift in our margins. U.S. Services' second quarter revenue from external sales decreased 28% sequentially and 26% year-over-year to $78 million. Adjusted EBITDA for U.S. Services in the second quarter was $17 million or 21% of external sales, down 63% sequentially and year-over-year. Breaking our U.S. Services business into land and offshore, Gulf of Mexico's second quarter revenue was down 29% sequentially and 20% year-over-year at $53 million. Revenue declined primarily due to lower activity. U.S. land decreased 27% sequentially and 35% year-over-year to $26 million. The U.S. land market has experienced a rapid decline in rig count. Our team is working hard to maintain our current customers, and where possible, gain new customers through strategic and targeted sales efforts. This business is at the core of the base reductions and head count reductions outlined earlier. We are continuing to fine-tune our cost profile and would expect to discuss additional cost reduction projects in the coming quarters. Lastly, tubular sales revenue from external sales in the second quarter was $53 million, up 21% sequentially and up 40% year-over-year. Revenue increased sequentially due to a favorable mix of business that included higher revenue and higher margin work. Adjusted EBITDA for tubular sales in the second quarter was $8 million or 15% of external sales, up 156% sequentially and down 14% year-over-year. Sequential EBITDA improvement is due to favorable mix and cost cutting actions in the manufacturing unit. We expect continued improvement in margin during the second half of the year, returning to normal levels of around 20% as the full impact of cost reductions take hold in Q3. Inventory in this segment is a significant opportunity as we look at our working capital efficiency. We have been successful in reducing inventory by $18.6 million since the beginning of the year. We will continue to refine our inventory model, balancing customer demand with cash investment in inventory. However, we believe inventory in general should continue to decline. Our second quarter CapEx was $27 million. For the first six months of 2015, CapEx was $71 million. As mentioned earlier, we plan on a 13% year-over-year CapEx reduction with a 40% equipment CapEx reduction. Our expectations for 2015 remain unchanged from last quarter with $150 million in total CapEx spend including $70 million in equipment CapEx. We are reviewing all capital needs, looking to eliminate or defer projects to future years that we do not deem critical given challenging customer needs in the current market environment. Diluted share count is expected to be 209 million for 2015. Our Board of Directors declared a dividend on August 3rd, 2015 of $0.15 per common share subject applicable to Dutch dividend withholding taxes with a record date of August 31st and payment on September 18th. This is unchanged from the previous quarter. Due to the uncertain environment, we are not providing guidance for the balance of the year. However, we expect much of the same dynamic we saw in Q2 with headwinds from pricing and activity delays partially offset by cost reductions. I will now turn the call back over to Gary for some final comments before we open up the call for Q&A.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Thank you, Jeff. Hopefully, the information and commentary we provided for the remainder of 2015 will help you understand where we see the business going. Commodity prices and our customers will ultimately determine what the rest of 2015 will hold for us. We are focused on controlling what we can while ensuring that when the recovery happens, we are poised to be in a leading position to recover quickly and be a reliable predictor of performance. This is accomplished by being nimble within our operations ensuring we have the right people, the right equipment, and maintaining our strong customer relationships while still creating value for our shareholders both, in the short-term and the long-term. Thank you for your time and we will now turn the call over to your questions.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from Kurt Hallead from RBC Capital Markets. Please go ahead.
Kurt Hallead - RBC Capital Markets LLC: Hi, good morning.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Good morning.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Good morning.
Kurt Hallead - RBC Capital Markets LLC: So you guys kind of laid out the views for the outlook and how challenging things are. And given your experience, Gary, at the oil company level, just kind of wondering what additional insights you might be able to provide us as the investment community. How the majors maybe viewing a $50 strip and how they're thinking about their projects. And then, how you have to, with those insights, manage around those challenges?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Yeah. Kurt, I would say, right now, if my recent history, going through the last dip, this is all about cash management right now. So I suspect many of the boards and executive teams of our customers are now talking about another round of capital reductions, cost reductions to try to manage cash now that they're starting to push out the outlook on price recovery later this year or many even into 2016. So it really becomes all about cash management.
Kurt Hallead - RBC Capital Markets LLC: Okay. Thank you for that. Now, curious about the dynamics on the M&A opportunity set, and I hear from various other service players that the bid-ask spreads are still pretty wide given the environment. I'm just wondering within the context of the product lines and services you guys provide whether that bid-ask spread is starting to narrow or still too wide for deals to get done?
John Walter Sinders - Executive Vice President-Administration: Hi Kurt. It's John Sinders. The M&A market still remains challenging. I mean the bid-ask spread is very high. We're active, we're looking. We're in a few dialogues, but it's incredibly difficult particularly with this recent dip to get any consensus on what the forward market is and therefore get any consensus on a transactional price.
Kurt Hallead - RBC Capital Markets LLC: Okay, great. All right, that's it from me. I'll turn it over to others. Thanks.
Operator: Thank you. Our next question comes from Jim Wicklund from Credit Suisse. Please go ahead.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Good morning.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Hey, Jim.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Gulf of Mexico was down – equivalent, a little bit worse than onshore U.S. That's a first in anybody we've heard report. And you made the comment that areas of weakness continue to be Gulf of Mexico and West Africa. Is this the loop currents, and are the loop currents responsible for the well construction execution issues or are there other things that we should be aware of? And loop currents are somewhat seasonal, do we look for improvement in activity or that execution? Can you just kind of fill us in on some of that?
William John Walker - Executive Vice President-Operations: Sure. Good morning. Jim, it's John Walker here. So, with regard to the offshore side Gulf of Mexico, first, we delivered a good safe quarter and we focused on what we can control. But from an activity perspective, there was a lot of flat time in Q2. To your point, there was BOP testing, there were logistical movements, loop currents as you mentioned, and also rigs latching on from one well subsea architecture on to another. So, the activity with our client base was reduced but the contracts remained intact. So further to your point, we're not giving guidance but we're going into a seasonality of the loop current season. So I would say that the activity from a measure perspective is going to be similar in nature to Q2. Now, the thing I'd like to highlight is with regard to the clients and the well execution challenges, it's about partnership. How we can work with them with the technology to reduce their flat time and that's a constant effort that we are embarking upon, but we're focusing on what we control, but there was a lot of challenges in Q2 regarding the execution process.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Yeah. Jim, maybe I could just add on to what John just said. I think if we think about West Africa, we think there is probably a structural shift there because of the poor results of exploration wells than was originally envisioned, whereas for the Gulf of Mexico, it's more operational, not a structural shift. So we would expect all of that work eventually to get done. It's just going to slide to the right.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful. And a follow-up, if I could. Pricing I know is elusive and pricing has much greater impact on results than activity. The second round of pricing, you're not the only company that has mentioned earlier pricing agreements had term – if oil prices don't recover by a certain day, we're going to cut prices again. Is that most prevalent in the U.S. or is it most prevalent international? And if it's the U.S., is it more onshore which would be expected, than Gulf of Mexico whatever it happens to be?
William John Walker - Executive Vice President-Operations: So Jim, John Walker again. You effectively answered the question there. So it is Gulf of Mexico, primarily discounts have expired and clients are coming back for a second round, little bit more assertive in nature. We're working with them, it's in partnership again. U.S. land business of course is challenged and it's been more longer-term there. From an international perspective, we're starting to see the requests around the discount structure, but it's been more of an activity reduction in the exploration side, to this point.
James Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you very much, gentlemen. And no matter what you did, 31% EBITDA margin, this is a very nice banner to carry. Good job.
William John Walker - Executive Vice President-Operations: There we go. There we go. Thanks, Jim.
Operator: Thank you. Our next question comes from Jeff Tillery from Tudor, Pickering & Holt (sic) [Tudor, Pickering, Holt]. Please go ahead.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: Hi. Good morning. I was curious as we think about, just prospectively, the International business, I was surprised and impressed by the margins this quarter. As we think about price discounting taking hold, West African activity outlook. Obviously, that biases them lower, but should we think about something in the high-30%s is something that's sustainable from a margin standpoint, given what we know today?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah. Hi, this is Jeff Bird. Yeah, I think, you should think about something probably in the low-40%s, probably from a 40% to 42% as the average. If you look back at the history, you've seen that balance between 40% and 45% depending in large part on the customer and country mix that we might have in any given quarter, but between 40% and 42% is a good number.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: Thank you for that. In the U.S., is land approaching EBITDA breakeven? I would suspect delays offshore. There's still some cost left in place but margins there in general still seem reasonably good. But as I'm curious, is land given your irrational pricing commentary, approaching breakeven?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah. We don't share the individual margins for land versus Gulf of Mexico, but I think it suffices to say that the U.S. land is clearly our challenged business. We talk about price discounting in a 5% to 10% range and the U.S. land is in excess of that 10%. So obviously, it pulls that number up. I think you should also understand that a lot of the cost actions that we took in the second quarter were U.S. land focused, shutting down seven bases and the vast majority of the head count reduction was U.S. land based as well. So it's a challenged market. We don't quote specific margins or EBITDAs on U.S. land.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: And last question I have. We're obviously not in a steady state environment, but just so I kind of gain bearings. You talked about on a working capital the potential 30-day DSO reduction. In aggregate, if revenue were to stay plus or minus where is it today, what do you think an 18-month goal – or 12-month to 18-month goal in terms of total working capital reduction could be?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: We're targeting a total working capital reduction between now and say mid-2016 of $100 million in excess of what you normally see from any pluses and minuses within the market. So obviously when you get today, are you looking more at the DSO as opposed to the raw number there?
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. Thank you very much.
Operator: Thank you. Our next question comes from Ian Macpherson from Simmons. Please go ahead.
Ian Macpherson - Simmons & Company International: Thanks, gentlemen. If I interpret the qualitative outlook, it sounds as if there's no reason for Q3, not to be a bit lower than Q2 overall. And you said that the Q2 results were in line with your expectation, they were about 30% below the Street. So I do want to tighten up that gap. As we think about the outlook for the second half, is it possible the third quarter could be down another 30% compared to the second quarter?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah. I think the comments that we made – the comments that Gary made in his opening remarks and I made in mine, is that we see the balance of the year much like we saw Q2 with continued pricing pressure and activity pressure, but somewhat offset by the cost reductions that we've got. So that's the guidance we're giving on the balance of the year.
Ian Macpherson - Simmons & Company International: Okay. Thanks, Jeff.
Operator: Thank you. Our next question comes from Robin Shoemaker from KeyBanc Capital Markets. Please go ahead.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Okay, thank you. So I was a little puzzled. So you say the initial first round of pricing discounts had expired so you're now into a second round. I recall you had indicated that the first round was 5%international something like 10% domestic which would expire at the end of the year. So, are we talking about the second round of discounts that pick up from the end of the year or take effect currently? And are they over and above what you've given in the first round?
William John Walker - Executive Vice President-Operations: So Robin, just to clarify that. So the 5% to 10% discounts that we talked about previously, the commitment was actually for the first half of the year. Now, we forecast that there was a probability that they would be extended and that's where the prior disclosure came from. But the reality is that they expired in the first half of the year and the clients have come back and asked for some form of extensions and some form of compounded additional discounts. We're here to work with them. It's about the total cost of ownership and lowering the cost and that hopefully clarifies your question.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Okay. And in terms of the Gulf of Mexico deepwater rig count, I was just wondering if you share what your projection of that is. We've seen quite a few situations where projects are being deferred, but also some major oil companies that have bought out the contracts of rigs that they had intended to work in the Gulf of Mexico. So, what would be your kind of deepwater rig count forecast going forward at least for this year?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Yeah, Robin. This is Gary. So that's one of the frustrations that we've had in engaging our customers. I mentioned in my opening remarks that they're really focused on today's situation and it's been very difficult to get a good crisp outlook for the remainder of the year and into 2016. It's all about trying to manage today's cash flows and do what they can to bolster cash flow. So, I would say right now, we have a lot of work that has slid to the right. Some of that work is going to be time fused, meaning due to project schedules or lease expiration dates, you can always slide to the right so much before you're up against a decision to drill and drop. And so we are optimistic that some of that work we're going to see in the latter half of this year, some will roll into 2016. And what I think we've seen with some of the buyouts is knocking the top of any projected growth curves, whereas the active rig count that we have now with all the operational challenges that John mentioned earlier that they have, that work is still ongoing albeit less efficient with lot more flat time. So I guess, the way we're looking at it right now and the way we're preparing our organization right now is kind of a flat sort of outlook for the rest of the year for all these reasons why you just can't continue to roll everything over to the right.
John Walter Sinders - Executive Vice President-Administration: Just to add to Gary's comments, there're a couple of things that we've been reaching out to the clients and obviously looking to the forecast. Remember the seasonality in Q3 and then we've got capital that's normally spent in Q4, but that's offset by some recent announcements with clients pulling out from longer-term rig contract commitments. But talking specifically to the clients, as quite a few of the clients want to move ahead with execution of the wells, but they've obviously got partnerships. In the partnerships, they're not getting partnership approval which is causing things to move into 2016. So there's a lot of moving parts around there and it concludes to Gary's comments about being flat for the Q4 period.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Yeah, okay. Well, thanks for that clarification.
Operator: Thank you. Our next question comes from Ken Sill from Seaport Global. Please go ahead.
Ken Sill - Seaport Global Securities LLC: Yeah, thanks. I'd like clarification to clarification. So, when you're talking about the Gulf of Mexico being flat for the back half of the year, is that flat with the first half of the year which included the good Q1 and a weak Q2, or kind of flat with Q2 levels where you had a lot of disappointments, delays and flat timing?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Yeah I'd say, optimistic would be flat with Q1 but realistically, and what we're planning on is flat with Q2.
Ken Sill - Seaport Global Securities LLC: Okay. That leaves us plenty of room to be wrong. And then at least versus my model, tubular services actually put in a really good quarter. You had higher revenues sequentially. You had really good margins. What's your outlook for that? Was that just a mix issue or what drove things there?
William John Walker - Executive Vice President-Operations: So as Jeff mentioned, this is John Walker, a bright spot for the company, double-digit growth year-over-year. Something has been very important. And it is Jeff's orientation around continued improvement process in the Kaizen. That's allowed us to have a 15% efficiency in delivering the product on short notice. In this type of business, even in today's environment, there's a lot of spot that comes into play. And when we have the ability to do our inventory and the efficiencies to deliver it quickly, that occurred actually in Q2. And we've obviously taken that into account for the remaining part of the year; so double-digit growth year-over-year for this sector or segment of the business.
Ken Sill - Seaport Global Securities LLC: And obviously that means the margins – that efficiency gain should continue too, but maybe not better margins or...
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yes. Yes. Yeah, if we look at it, we've historically seen around 20% margins in that segment. As we said on the Q1 call, that was somewhat depressed by the cost that we need to get out of the business. We saw some of that improvement in Q2 and we should see it return to really normal margin levels by Q3 and Q4 around 20%.
Ken Sill - Seaport Global Securities LLC: That's very helpful. And then just kind of housekeeping, and I'll let somebody else get on. With the cost cutting, are you guys expecting any changes in SG&A or depreciation as we move forward, Q3-Q4?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: I don't think there'll be any change in depreciation. We would see SG&A kick down in Q3 and Q4 from where it is today primarily on two things. One is the cost action that we took in the second quarter. We didn't get the full benefit of those. And second, we did have some of the Timco acquisition and integration cost in the second quarter that we would expect to fall off in Q3 and Q4.
Ken Sill - Seaport Global Securities LLC: Thank you.
Operator: Thank you. Our next question comes from Blake Hutchinson from Howard Weil. Please go ahead.
Blake Hutchinson - Howard Weil: Good morning, guys.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Good morning, Blake.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Morning, Blake.
Blake Hutchinson - Howard Weil: Just one of the two. Understanding the guidance for the back half for the year in the Gulf of Mexico, contemplates kind of the movement to the right of a lot of the project work and operational issues. Before we leave this quarter behind, I just wanted to try to understand if possible, kind of size, the impact of being caught at least initially a little flatfooted on, as John Walker put it I guess flat time or under absorbed labor in the Gulf. When we think about the EBITDA margin progression from 1Q to 2Q, was that impact initially something approaching as high as half of the degradation in margin? Just again, I understand that to some extent this becomes part of the model, but wanted to try to size the initial impact of that unabsorbed labor time?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah, because we don't get into specific EBITDA margins around Gulf of Mexico and U.S. land, I'll talk about it in general. But in general, the way you should think about it is we really only had one month of real savings in the second quarter in our U.S. Services segment. So the vast majority of the base closures and the head count reductions were U.S. Services related and we only had one month of that in the second quarter. Third quarter you should get all three months of that.
Blake Hutchinson - Howard Weil: Okay. And then, I guess maybe another way of asking that, was the initial operational plan for Gulf closer to kind of a flat top-line and maybe that's one way we can think about the impact from unabsorbed labor time?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Yeah, maybe a flat, I mean...
William John Walker - Executive Vice President-Operations: Where – so, it's John Walker. Where I think you're going with this one is, we are focused on what we can control, but we've obviously got infrastructure that we have to maintain to provide the service. And the activity of movements in the well architecture in Q3, it was the phase of operations. Recall, Blake, it takes 180 days to execute one of these wells, to drill it and complete it. And it just happened in Q3 – in Q2, I should say, that there were a lot of the wells, the phases of the operations where there was flat time. So, going into Q3, that should not occur. However, that's offset by discount headwinds and seasonality. And then also Q4, the rationale is because of the offset with the clients' more recent declines in well architecture commitments. So that's why we're just leveling at flat based on what Q2.
Blake Hutchinson - Howard Weil: Understood, understood. I was just kind of trying to get a last look at what a natural margin might have been before we kind of head into those quarters, but I appreciate you not wanting to go there. And then just on the discounting front, can we just kind of clarify, I mean, what we've talked about this – offshore at least, thus far this year is kind of negotiations are really around a base price. Are you still able to maintain your price book on all of most of your more value-added services and so, the more complex architecture we get, the better off results should still be?
William John Walker - Executive Vice President-Operations: Short answer is yes.
Blake Hutchinson - Howard Weil: Okay.
William John Walker - Executive Vice President-Operations: Absolutely.
Blake Hutchinson - Howard Weil: Good. I appreciate the feedback, guys. I'll turn it back.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Thanks, Blake.
Operator: Thank you. Our next question comes from Chase Mulvehill from SunTrust. Please go ahead.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Hey, good morning. Thanks for squeezing me in. A few kind of I guess questions. First, I'll start on international. Can you confirm that you said that low-40%s margins in the second half for international?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah, yeah. That's what you should expect.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay, all right. And so are a lot of the $30 million of annualized cost savings coming through international, or are they going to be more towards the U.S.?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: It is more U.S. biased.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All righty. And then as we think about the backlog you have at international, there's obviously less call out work. Gulf of Mexico is more call out. So if we think about the backlog, when does – second half, does it still have high priced backlog, and then kind of when does that backlog start rolling off?
William John Walker - Executive Vice President-Operations: So this is John Walker, Chase. At the Q3-Q4, we're seeing a reduction in activity due to the more recent results around the exploration side of the business. So from your modeling perspective, I would say it would be going into Q3-Q4. That's activity driven. From a discount perspective, we are talking to clients. We have been in Q2. There's nothing finalized at this point, but there are obviously coming forward and asking for discounts which we're working on them with. So it's a combination of activity and then the discount but I'd model it for Q3 and Q4.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay, all right. And so, do you think you can hold margins in the low-40%s into 2016, international?
John Walter Sinders - Executive Vice President-Administration: Yeah. So Chase, what we're doing in that regard, I mean we're being very proactive in the standardized process across the company, in the areas which had high activity before such as Africa. We're going through a rationalization plan, standardization plan and that's actually well on its way. So we're certainly hoping to maintain that margin, as Jeff indicated.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. Awesome. And so on the pricing pressure, are you seeing more pricing pressure in international or in Gulf of Mexico?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Gulf of Mexico.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Obviously, the bias is towards U.S. land but Gulf of Mexico if you (45:19).
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. And then so from your deepwater competitors, what are you seeing for them on pricing? Are they being – I think, you said some irrational pricing, I couldn't tell if that was U.S. onshore or were you talking deepwater?
John Walter Sinders - Executive Vice President-Administration: Yeah. We're here to just focus on our results. So we're not here to talk about the competitors. It's tough times, it's challenging. But we focus on delivering service quality. Something that Keith Mosing has always said is focus on the customer, keep them there for the long-term and positive things will happen. And that's what we're doing. We're executing well. We've had a great safe quarter. And on a year-over-year basis the first half of the year was outstanding from a safety perspective, so it's about keeping focus and control in what we can control.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay, right. Last one, on the West Africa revenues, how much were they actually down in 2Q and do they take another step down in 3Q or we kind of reached the normalized level here?
William John Walker - Executive Vice President-Operations: We don't disclose specific regions outside the segments.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. Thought I would try. All right, thanks John, thanks, Gary.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Thanks, Chase.
Operator: Thank you. Our last question comes from Daniel Burke from Johnson Rice. Please go ahead.
Daniel J. Burke - Johnson Rice & Co. LLC: Yeah, good morning guys.
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Good morning.
Daniel J. Burke - Johnson Rice & Co. LLC: Just to take one more crack at where Chase left it off. Can you give us any sense of just the magnitude of sort of industry decline. Do you sort of see looking forward over the next 12 months to 18 months in the Africa market versus maybe the activity levels you've been experiencing or the industry has been experiencing over the last year or two?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: No. I don't think we'd give any specific guidance at this point.
Daniel J. Burke - Johnson Rice & Co. LLC: Yeah, okay. Fair enough. And then last one from me really down to small things. Can you say or is the 10-Q going to offer up with the top-line contribution from Timco was?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: No. it's not. Obviously, since Timco overlapped a great deal with Frank's, even at quarter end, it becomes difficult to tell the difference between the Frank's U.S. land business and the Timco U.S. land business.
Daniel J. Burke - Johnson Rice & Co. LLC: Fair enough, guys. Thought I'd take a couple of stabs here at the end. Thanks.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Thanks, Daniel.
Operator: Thank you. And our final question comes from Brad Handler from Jefferies. Please go ahead.
Bradley P. Handler - Jefferies LLC: Thanks. Good morning, guys.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Good morning, Brad.
Bradley P. Handler - Jefferies LLC: If I've missed something here, I apologize to make you re-state, but in terms of the U.S. onshore outlook, perhaps I'll frame the question around exit rate versus starting rates in the quarter. Presumably, U.S. onshore revenues might have been exiting meaningfully weaker than it did in April. Can you comment on that and then maybe some clarity on your outlook for the third quarter in U.S. onshore?
Jeffrey J. Bird - Chief Financial Officer & Executive Vice President: Yeah. This is Jeff Bird. I'll comment a little bit on price and I'll let John talk about activity a little bit. From a price standpoint, I think the thing that you should keep in mind is in the first quarter of the year, we did not experience the full quarter of price reductions. Many of those price reductions happened in January and February. So maybe we had a month or month and a half of those price reductions in the first quarter whereas in the second quarter we had the full effect of those price reductions and I'll turn it to John to talk a little bit about activity.
William John Walker - Executive Vice President-Operations: Sure. So, with regard to the activity, the addressable market as far as we are concerned is – recall, we closed seven bases. So we focused on the areas where we could create the most value. And we actually increased market share on the addressable market throughout the Q2. So, the goal was to drive that forward. We have a much more focused sales effort around the whole U.S. platform. We talk about best practices on the platform and applying standardized across the platform. So, I feel that good things will happen in tough times. And recall the discussion around pricing, irrational pricing that's happening at the moment in the broader community. We've got strong balance sheet where strength is at service quality and safety. And as long as we focus on that in the longer-term, we're going to come over this on an exit with the ability to expand again.
Bradley P. Handler - Jefferies LLC: Okay. So if I could put some words in your mouth and then just to make sure I'm hearing them right. So, there are some incremental market share opportunities in your focus basins which might help to offset a softer exit rate in Q2. So it might allow you to keep your revenues stable in U.S. onshore in Q3? Is that what I could be hearing?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Here is a correct answer, maybe.
Bradley P. Handler - Jefferies LLC: Okay. Understand.
Gary P. Luquette - President, CEO & Member-Supervisory Board: It's tough times, dynamic in nature, but we're doing all the right things. We're focusing, we're executing well and it's a may be.
Bradley P. Handler - Jefferies LLC: Sure, sure.
Gary P. Luquette - President, CEO & Member-Supervisory Board: And we have some examples of that in Q2 where we've been able to pick up work in Latin America, that was ex-plan, that we're good gap fillers for things that were in plan that slipped out of the quarter. So, as John mentioned, it's just very dynamic and very hard to predict but that's one of the things our sales and marketing organization is focused on is continuing to try to win work that's not in the plan.
Bradley P. Handler - Jefferies LLC: Sure. Okay. And then, I'm sorry just to make sure I understand the other point you made. We're hearing more about irrational pricing across other product and service lines as well, and then of course there's an implication that some of the companies don't make it as a function of that, right, so they can run at a certain price level for a period of time, but ultimately the cash flow just isn't enough. Presumably, that's more of a benefit into next year, or beyond. Is that a fair assumption? It takes a while for the pain to be great enough to really see that kind of a competitive opportunity emerge for you, is that fair?
Gary P. Luquette - President, CEO & Member-Supervisory Board: Well, I think it depends – well, I would say generally that assumption is correct. It takes a while for that pain to eventually manifest itself in default, but it depends. Some of our competitors and some people in the services sector are already carrying a bunch of debt coming into this tough period, so their ability to participate in that game is going to be shorter than others that have been a little more conservative with the balance sheet.
Bradley P. Handler - Jefferies LLC: Understood, understood, okay. I think I understand it better. Thanks. I'll turn it back.
Gary P. Luquette - President, CEO & Member-Supervisory Board: Okay. So I think we're through with our questions. So allow me just for a minute or so here to summarize some of the things that you've heard from us today. I think you've heard all of the speakers today refer to controlling what we can. So what we mean by that is we're reducing our cost, but we're doing it in a way that does not compromise our ability to ramp up when the market recovers. We know, for those of us that have been in this industry for a while, it is going to recover. The big question is just when? So we are making sure that all of the short-term steps we take, don't compromise our ability to ramp up when the market returns. We're protecting market share with our blue chip customers. Sometimes that means we have to push a little harder on our returns and our prices than we'd like, but we're going to keep serving our blue chip customers and we'll do that through the period. We're continuing to generate positive cash flows and keep our sterling balance sheet in shape so that we can act on the right opportunity if and when it presents itself. We're continuing our focus in investment, in technology. It's what made Frank's the company it is today and we realize that will allow us to continue to grow market share and hold on to our customers, if we can deliver superior technology solutions. We're continuing our journey from private to public. Recall, our company as a public entity, is coming up on a two-year anniversary in a few months. So we're still quite young and we're implementing improved processes, procedures and organizational capability to be predictable and reliable performer for our investors. We're starting from a good base, ladies and gentlemen. Our objective is to move Frank's from good to great. So I think that wraps up our time with you today. We just thank you for your interest in our company. We thank you for your questions and we hope to hear from you again in the ensuing months. Thank you.
Operator: Thank you. And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.